Operator: Good day, ladies and gentlemen. Thank you for standing by, and welcome to the Health, Inc. HealthInTech Third Quarter of twenty twenty five Earnings Conference Call. Currently, all participants are in listen only mode. Later, will conduct a question and answer session and instructions will follow at that time. As a reminder, we are recording today's call. If you have any objections, you may disconnect at this time. Now I will turn the call over to Lori Babcock Chief of Staff of the company. Ms. Babcock? Please proceed.

Lori Babcock: Thank you, operator, and hello, everyone. Welcome to the Health and Tech's third quarter of twenty twenty five earnings conference call. Joining us today are Mr. Tim Johnson, Chief Executive Officer Mr. Dustin Plantholt, Chief AI and Marketing Officer Ms. Julia Chin, Chief Financial Officer. Full details of our results can be found in our earnings press release and in our related Form 10 Q to be filed with the SEC. These documents will be available on our Investor Relations website at healthintech.investorroom.com. As a reminder, today's call is being recorded and a replay will be available on our IR website as well. Before we continue, please note that today's discussion includes forward looking statements made pursuant to the Safe Harbor provisions of The U. S. Private Securities Litigation Reform Act of 1995. These statements are based on information available as of today and involve risks, uncertainties and assumptions that could cause actual results to differ materially from those expressed or implied, including those discussed in our quarterly report on Form 10 Q for the period ended September 30, twenty twenty five, to be filed with the SEC. Please review the forward looking and cautionary statement section at the end of our earnings release for various factors that could cause actual results to differ materially from forward looking statements made during our call today. We undertake the obligation to update and express disclaim the obligation to update these forward looking statements to reflect events or circumstances after the date of this call or to reflect new information of the occurrence of unanticipated events. We may also refer to certain financial measures not in accordance with Generally Accepted Accounting Principles such as adjusted EBITDA for comparison purpose only. Our GAAP results and reconciliations of GAAP to non GAAP measures can be found in our earnings press release. With that, I now turn the call over to our CEO, Mr. Tim Johnson. Tim?

Operator: Thank you, and good afternoon, everyone. I appreciate you joining us today.

Tim Johnson: I'm pleased to share our third quarter results which were well aligned with our expectations as we continue to invest in strategic channel partners and rapidly expand our distribution network. At a high level, we delivered another quarter of strong revenue growth. Revenue reached $8,500,000 up from 90% year over year bringing nine month revenue to $25,800,000 compared to $19,500,000 for the full year of 2024. This momentum was driven by the continued expansion of our sales distribution network The number of brokers, TPAs and agencies grew to eight forty nine partners, up 57% year over year. As more brokers and agencies adopt our eDibs platform, we're seeing more quotes bound and sold in real time. By the end of the third quarter, the number of billed enrolled employees reached 25,248, an increase of 7,654 employees year over year. The third quarter is typically a development and deployment period for us. A time to introduce new programs and features. Most notably, we completed beta testing and officially launched the large employer underwriting capability with our enhanced EDIBS platform. This is a major milestone that scales are reached across the full employer spectrum positioning health and tech as a true and insurance marketplace for business of all sizes. The new capability enables brokers to generate fully bindable quotes for groups of 150 more employees in as little as two weeks compared to the industry norm of about three months. This advancement dramatically expands our addressable market and establishes health and tech among the few platforms serving both small and large employers seamlessly. Soon after the launch, we showcased this innovation at the SIIA National Conference in October 2025 one of the most influential events in the self insurance industry. Our participation there helped accelerate national exposure and strengthen broker relationships. Key catalyst for future growth. As we look to the fourth quarter and into Q1 twenty twenty six, we're entering our peak enrollment period when employers review or switch their healthcare coverage. Recent market uncertainty and rising healthcare costs have created mixed timing patterns with some employers making early plan selections in late Q3, while others are delaying decisions into January. As a result, we delivered much better year over year growth in Q3 and anticipating sales volume shift from Q4 into Q1, but still expect healthy year over year overall growth. To help employers navigate cost we're testing a new program offering a three year rate hold. A solution that provides predictable, stable pricing over a multi year period. The program allows groups with 150 or more employees to lock in healthcare costs for three years through a fixed remittance model backed by an A rated stop loss carrier. It brings real time excuse me, real value to clients looking for cost stability amid rising medical expenses. While also strengthening our relationships with brokers and TPAs. By providing cost certainty amid rising medical expenses, we're giving brokers and TPAs powerful retention tools and helping employers plan long term with greater confidence. We completed initial testing in October and plan to fully launch the program in the 2026. We believe it represents an innovative concept for broader healthcare insurance market and we're optimistic about its reception as we enter 2026. Beyond underwriting innovation, we're setting our sights on one of the largest inefficiencies in The U. S. Health in U. S. Healthcare. Claims processing, which consumes more than $300,000,000,000 annually in administrative costs and delays. This quarter, we announced a non binding letter of intent with Alphaton Capital Corp. To co develop HitChain a blockchain enabled platform designed to bring real time visibility, accuracy and accountability to claims workflows across the ecosystem. Under this LOI, both companies plan to contribute distinct strengths Health and Tech brings domain expertise in insurance and healthcare data standards, established broker and carrier relationships, proven go to market channels and leadership in healthcare technology design. Alphatend Capital contributes blockchain development, expertise on the open network, smart contract architecture, cybersecurity, stablecoin integration for secure payments, and capital resources for enterprise scale deployment. Together with Alphaton's blockchain infrastructure and Brittany Kaiser's leadership and data ethics, we are building chain, a decentralized and verifiable claims system aimed at compressing timelines eliminating duplication, reducing costs and creating a transparent system of record for payers and providers alike. By combining interest domain expertise with blockchain innovation, Constantex is positioned at the forefront of decentralized healthcare insurance technology infrastructure, a market opportunity of meaningful scale and long term impact. Lastly, we're thrilled to share that Health and Tech will host the InsurTech Summit at Davos. During the World Economic Forum Week in January 2026. This event will convene global thought leaders to discuss AI, technology and transformation of critical business sectors including healthcare and insurance. With that, will now turn it over to Dustin, who will walk through our latest marketing and partnership innovations in greater detail. Dustin? Thank you, Tim, and good afternoon, everyone. As Tim mentioned,

Dustin Plantholt: we will take Health and Tech to the center. Of the global innovation stage. By hosting our very first independent InsurTech Summit on 01/20/2026, during the week of the annual World Economic Forum in Davos, Switzerland. It's interesting because the World Economic Forum which is held each year in Davos, is really considered one of the world's most prestigious gatherings of global leaders across business, government academia, and civil society. And it serves as a powerful platform for shaping global regional

Tim Johnson: and industry agendas

Dustin Plantholt: And this year health and tech will be among the organizations leading that dialogue. Our summit will feature a curated lineup of panels on artificial intelligence, digital transformation in health care, and blockchain enabled system reform. All focused on redefining how technology can drive transparency efficiency, and equity across the 4,500,000,000,000.0 healthcare economy. The first session we've announced AI and Institutional Resistance, CEOs Driving Change in legacy sectors. Brings together TYME CEO Jessica Sibley alongside our very own CEO, Tim Johnson. For a dynamic discussion on how top executives are embedding AI within large traditional organizations. This dialogue won't be just about innovation. It's going to highlight the leadership mindset and operational courage required to modernize industries that have historically resisted change. Our second session, First Ladies, Backing Women Who Built. Will feature Lady Sherri Blair. Founder, of the Sherri Blair Foundation for Women. The panel will spotlight global leaders advancing women's entrepreneurship. Leadership, and access to capital across industries. Exploring how innovation, education, and technology can close gender gaps in business creation and economic opportunity. And this aligns perfectly with Health and Tech's broader mission of expanding access and inclusion through technology driven ecosystems. Additional sessions focusing on other strategic themes will be announced in the next weeks and months.

Tim Johnson: Ahead.

Dustin Plantholt: Together, these sessions are going to elevate Health and Tech's visibility among insurers. Investors and yes even policymakers reinforcing our leadership in shaping conversations at the intersection of AI,

Tim Johnson: healthcare,

Dustin Plantholt: and financial inclusion. For investors, Davos represents a strategic inflection point amplifying our institutional reach. Strengthening our brand presence on the world stage, and showcasing how our technology and partnerships are modernizing the health care system here in The United States. As I've often said, legacy sectors like healthcare finance and insurance are where AI meets its toughest tests and delivers its greatest rewards. By leading these discussions, Health and Tech is demonstrating that responsible data driven innovation can scale sustainably. While earning trust from both partners and regulators. With that, I'll turn the call over to our Chief Financial Officer, Julia Kwan. To walk you through the financial results in more detail. Julia?

Lori Babcock: Thanks, Dustin, and good afternoon, everyone. It's my pleasure to talk you through the financial results that underpin the strong operational achievement Tim just discussed. Our third quarter and the first nine months of twenty twenty five reflect continued execution across all the business fronts, From expansion of our self distribution network to launch new platform features, we are maintaining disciplined cost management and operational efficiency. Revenue performance, for the For the third quarter, total revenue reached 8,500,000.0 bringing year to year revenue growth to $25,800,000 presenting 132% of our full year 2024 total. Lease growth clearly our accelerate momentum and effectiveness our strategy channel expansion through the broker TPA and agencies. Combined with our strong customer acquisition activities. Profitability and operating leverage, Beyond the top line, our profitability metrics show significant operating leverage. Adjusted EBITDA for the quarter was $1,000,000 up 49% year over year. For the first nine months, adjusted EBITDA reached 3,800,000.0 or 167% of the full year 2024 total. This strong EBITDA performance demonstrates our ability to scale efficiency while maintaining the cost discipline. Pretax income for the quarter was 600,000.0 a 48% increase year over year. For the first nine months, pretax income totaled 2,100,000.0 or 2.4 times of full year 2024. Importantly, pre tax income present eight point around 8% of the revenue. It's 135 basis points improved year over year. Reflecting our consistent balance between the resource allocation for growth and the bottom line profitability. Expenses management, on the expenses aside, we continue to improve operating efficiencies with scale Total operating expenses for the third quarter was 3,700,000.0 fifty five percent of revenue, down from 68 in the same period last year. For the first nine months, operating expenses represent 59% of revenue an improvement of 12 basis points from 171% of the year ago. We continue to integrate AI driven internal to enhance process automation and the reduce administration burden Break these further down, sales and marketing expenses were 1,000,000 or 11.3% of the revenue, essentially flat year over year. Our channel partner model continue to drive revenue growth without the need a large in house sales force. Generally, administrative expenses were 3,500,000.0 consists of $1,300,000 in operating cost

Julia Chin: 14.9% of revenue and the $2,200,000 in admin cost 25.8% of revenue. The higher admin cost reflects the expenses associated with being a public company including D and O insurance, board composition, investor relations, and the median outreach? So the research and the development expenses declined to 2.8% of revenue from 16% of the year ago, Our tech results have shifted from the preliminary project maintenance phase research phase to heavy development phase deployment. So that's the tech cost associated with the software development are capitalized. That's why you see the expenses reduced. Cash flow and the balance sheet. For the first nine months, we generated $2,700,000 of the positive cash flow from operations. We invested 2,400,000.0 in technology development and 100,000.0 in the capital markets resulting in net positive cash flow of $200,000 We ended the quarter with a solid $8,000,000 in cash and cash equivalent. Our collaboration with AlphaTone Capital also provides additional capital leverage for the He chain initiative. With our Fortune investment contribution, we expect to build these transformative blockchain enabled first platform with minimum cash requirement from our end. Which maximizing our capital efficiency. As we enter the fourth quarter, we are navigating a period of the market uncertainties related to rising healthcare costs and evolving regulation regulatory dynamics. Some in prior years accelerated their plan selection into late Q3, which contributed to strong than expected performance in the quarter At the same time, other employees are shifting the purchase decision into January and early Q1 twenty twenty six. Q4 is typically when we launch our major marketing broker initiative and the PR campaigns to build a momentum for the peak sales season in line with the strategy we are intentionally reinvested portion of our gross profit into the market expansion activity to support continued long term growth. We anticipate Q4 revenue growth of around 50% year over year which reflect a solid performance giving lease timing shifts. For the full year 2025, we're expecting to deliver around 70% year over year revenue growth reaching an estimated $32,000,000 to $33,000,000 in revenue. Importantly, full year net income growth is expected to be near 90% outpacing the revenue growth on percentage basis. As we balancing discipline the profitability with purpose for reinvestment giving our market share is less than 0.01% of the market potential the long term growth runway remains very substantial. Our strategy is to thoughtfully redeploy a portion of earning to scale distribution drive product adoption and deepening our competitive

Tim Johnson: position.

Julia Chin: As Tim mentioned, we began pilot test our three year rate holder program in late in late October, early November. Lease offering is very innovative and designed to provide portability for the employers and manage for them to manage the healthcare costs more effectively. This is very appealing to the companies with large number of employees. We will share more details with you upon full launch in Q1 twenty twenty six. In summary, the third quarter marked a pivotal point of the technology progress and the product innovation. The fourth quarter is focused on the market activities, program testing and our year end sales campaignship. With all which position us for accelerated momentum heading into 2026. We are laying the foundation for an AI enabled multi program healthcare insurance marketplace that we can serve our employees with all size and segment. I now turn it back to the operator for Q and A.

Operator: We will now begin the question and answer session. If you are using a speakerphone, If at any time your question has been addressed and you would like to withdraw your question, first question today is from Marla Marin with Zacks. Please go ahead.

Julia Chin: Thank you. Good afternoon, everyone. So

Lori Babcock: this was obviously strong quarter growth. I know you talked a little bit about some pull forward and maybe some timing differences versus general patterns in past years, but still we're seeing very strong growth. You've been operating now for a very brief period in the large employer market. Is Is the response that you're seeing tracking along the lines that you had anticipated? And are there any things that you're seeing in market that distinguish it from the small and medium

Julia Chin: market that you have traditionally looked at or focused on?

Tim Johnson: Yes. Hey Marla, thanks for the question. This is Tim. You're right. We really just got started. We haven't been able to see a trend yet because the process usually takes from for our brokers to get established and trained on the system. To where they're starting to use it and an effective date is usually about at a minimum at sixty, it's usually ninety to one hundred and twenty days out. So although the process has sped up and helped everybody help our distribution sources get their proposals and their quotes faster, We haven't seen them start to really bind anything yet because they're quoting groups that are are further out from when we started. If that makes sense.

Julia Chin: Yes. But we are seeing a lot more activity. We're seeing

Tim Johnson: it started at about two quotes a day. Now we're up to five quotes a day that our underwriters are able to get out. So big improvement from where it was.

Julia Chin: Okay, understood. Okay, so switching gears a little bit, your enrolled employees that metric which is one that

Lori Babcock: I look at from quarter to quarter as I'm sure others do,

Julia Chin: It continues to

Dustin Plantholt: increase

Julia Chin: I think in the past you've talked about there's a level of stickiness with that number just because of difficulties sometimes in switching to other

Lori Babcock: other coverage providers or other solutions. Can you

Marla Marin: give us any color on whether or not you think that is true?

Julia Chin: Yes, that's Molly, it's Julia. I think that is a great question. That's why when we look at the three year rate holder program, we're either further to enhance the retention because with these uncertainties that when the business can have a product with flat rate for the three years and really significantly change how the dynamic on the market. Yeah. The health care product, insurance product, itself is already pretty sticky. And with the speed and the benefits we offer, that's how we see we adding on more products, make that even more sticky.

Marla Marin: Okay. Got it. And then last question from me. The blockchain initiative, I think is very interesting. As you continue to innovate in this space and you continue to use technology, to streamline processes and make things simpler for the customer base. In terms of blockchain right now, is there anyone else in the space that is using blockchain or will this be something that you are are going to be relatively amongst the lead innovators?

Julia Chin: I would like the team to address that.

Tim Johnson: Yeah, Dustin you can address that if want. That'd be a good one for you. I would

Dustin Plantholt: Yes, I would love to. So it's interesting, this space of health care and now putting these records on chain but doing it in a way that it still remains de identified, so we don't have any compliance issues We will really be the first at the scale that we will be launching the hit chain. Bringing in an entire ecosystem over the next twelve, twenty four, thirty six months into HitChain. So it has not been done at that level, ever. Because of all the moving pieces. That are involved. And when we look at the problem, the friction point, Tim and I our CEO, he and I discussed friction. The friction our providers feel, the friction that the hospital systems feel. Even the friction at time the patients are feeling, to be able to have a a real time ledger, that they can track. So I'm excited over the next number of months. Mr. Tim Johnson will be rolling out some of the areas that we see help in tech being able to receive revenue opportunities and also strategic growth not just in North America, Our plan would be long term that hit chain would be all over the planet, that we would become the number one in the healthcare blockchain even at some point tokenization. So I'll throw it back to Mr. Tim Johnson, our CEO, because I can't reveal too much. Yes. Marla,

Julia Chin: we this

Tim Johnson: type of product has been tried and failed by other people with considerably larger recognition than we are. We have brought though a much broader base of people that understand the A to Z effect of this. Everybody at Health and Tech and Alphaton, they have experience in every function that has started from when somebody goes to the doctor to where that bill gets paid. And believe me, there are multiple, entities in the middle of that that have and transactions that have to take place. And by streamlining all that, as Dustin said, the decentralization of that where anybody can join this thing, this blockchain that we're calling HitChain, it has not been done before in such a scale. It has been done by single hospitals do it to manage their processes internally. But nothing where you decentralize it to the public like we are.

Marla Marin: Okay. Thanks so much for the responses. I'll get back in queue or let someone else jump in.

Tim Johnson: Thanks, Mauro.

Operator: The next question is from James Lieberman with American Trust Investment Services. Please go ahead.

Tim Johnson: Thank you. I want to congratulate you on the

James Lieberman: terrific year of execution and the vision that you're putting in place And I wonder, can you share a little bit more about this three year lock program for healthcare? How do you manage to do that or is that your secret sauce and you'd rather not say at this time? Yeah. I can't

Tim Johnson: because this is public, you're right. We really don't want others to know how we're going about it from an underwriting perspective. I will tell you though that there has been a year's worth of work with multiple different financial institutions, bankers, underwriters, insurance carriers, distribution sources, in order for everybody to get comfortable with this. It has taken a lot of effort on everybody's part. And over a year now, we're, we've been working on it. So apologize, I can't give you much more than that. Yeah. No. I think it's

James Lieberman: kind of extraordinary and I commend you that you've been able to bring all the players together to even present that vision. Congratulations.

Julia Chin: Yes, Jim, you just turn to watching for the full launch news then we will have more detail than the time we do official full launch. And it's really we combine these insurance sector expertise with carrier, with various investment bank and funds, it just allowed to put together, I would see. And you will find that they are all renowned institution to join force to make this happen. And we're very excited, but we will have more to share with everybody and Q1 full launch.

James Lieberman: Thank you very much again.

Marla Marin: The next

Operator: The next question is from Allen Klee with Maxim Group. Please go ahead.

James Lieberman: Hi. It's really great to

Dustin Plantholt: see your degree of innovation.

James Lieberman: Following up on the

Dustin Plantholt: three year rate hold product, I think this could be really

James Lieberman: very powerful for for employers to want this. I'm actually it's kind of surprising that insurance company would take that risk with given the challenges of and the changes that can happen with

Dustin Plantholt: with underwriting results

James Lieberman: Was that maybe the hardest part to get over? How an insurance company could get comfortable to take a a three year risk

Tim Johnson: Yes, Alan. It was very challenging, but there's two sides to look at here. So what insurance carriers like to do is get profitable business and hold it. In this case, that's what we're trying to do is make it profitable by implementing these medical management programs, some very strategically targeted programs where we're trying to manage every possible instances that can come up. So if somebody has diabetes, we have a program for that. If somebody has another condition, we have very specific programs that manage these. Because Alan, what you find is that in a carrier will pick somebody up for a year and try to implement these things, but twelve months isn't enough to make an impact if something happens. They don't have enough time, say it happens six months into the program. They don't have enough time to really make an impact and try to manage that condition, whatever it is, to get it back to where it, one, where probably is not, maybe it's not a profitable program, but it could be over time if you get enough time to get it under control. And that's what we sold our carriers on is the ability for us to manage those over time better than what we're able to do today.

James Lieberman: That that makes a lot of sense. And then for the for the claims processing, who

Dustin Plantholt: you're selling this who who is your customer in this?

Tim Johnson: Customers are large employers. Larger employees, 150 lives on their plan and greater. So, like municipalities, for example, I use municipalities because they don't have a lot of money from their tax base, whatever that is. But they try to budget. Their budgeting money is very tight. And when we can give them a three year rate guarantee, municipalities and government entities love this type of product.

James Lieberman: Right. Okay. And then for the I'm sorry. I didn't ask my question. I meant for the for the block chain opportunity to manage claims processing? Who are you selling that to?

Tim Johnson: Well, that's going to be sold to everybody. If you've heard me speak in the past, Alan, everybody that touches healthcare and which is from the hospitals to the patients, the employers, the brokers, the third party administrators, the networks, everybody in not to use the term or beat the term up in the chain of events everybody will participate in this. The program and again, I can't go into I don't know where my line is drawn. Too much information, but everybody that touches it will benefit. There's a win win in this for everybody. It'll drive, I have asked, people have asked me the question how's that going to drive healthcare costs down? Well, a large part of the healthcare cost is the administrative costs. And they're huge as we talked about in this presentation, was $300,000,000,000 We're trying to cut that down dramatically. And we hope that that savings reflects back in the term of healthcare expenses paid out over time.

Dustin Plantholt: Yes. And I'd like to also kind of add to that Tim, and great great explanation. I think that for those that have ever experienced issues when it comes to claims,

Tim Johnson: Our

Dustin Plantholt: ideal kind of customer client that we see partnering with us. Are going to be insurance carriers, health plans, benefit administrators, companies that are processing potentially millions of claims a year or thousands or tens of thousands of claims They're going to win with HitChain because of fewer fraudulent claims faster processing, fewer disputes, faster collection, less overhead expenses, meaning we're driving operationally their costs down, and ultimately happier providers, which means health and tech wins. Those that are within the ecosystem wins and so I can't give everything. I don't want to get ahead of myself. But we have an enormous opportunity here, and we're hearing from large organizations around the world, including large hospital system, that we are on to something So I'm excited to go on this journey with all of you in the future.

Julia Chin: Yeah. Alan, once we work with AlphaTone turn to from nonbinding letter intent, turn into the definitive agreement at that point in time, we will be able to give an update in terms of the more detailed business model and all these above fronts and both team and Dustin mentioned about, it's just some of the very initial identified area we can benefit from. They are much more area when we continue to discuss and discover the benefits not only just transparency, the speed, remove the redundancy, especially you know, one clients get a process once, not multiple times, get review to different people, different organization, manual work back and forth, forth. But also there's opportunity to think about how the money movement get paid, the payment part aside of process So there's really a lot of things we can do The most benefit for us for overall is both party contribute their strength and that has really minimum cash requirement from our end. We contribute our knowledge And they have the funds, they have the technology and blockchain. Combined these both parties, we're going to create something very unique and big and the benefit every participant on the chain.

Dustin Plantholt: And, Julian, I think it's

James Lieberman: good good to note because we have mentioned it in press releases. Regarding Ask Tim our AI driven benefits counselor that also will be availed in 2026. With a little bit of under the hood in Davos on 01/20/2026.

Lori Babcock: Yes. You're right. Some

James Lieberman: You guys had mentioned in the last few months of

Dustin Plantholt: some stuff that you're doing with pharmacy benefit management side to try to

James Lieberman: get lower drug costs. Any update on that? Julia?

Julia Chin: Oh, Alan, I think we really do not have much more build out in terms of pharmacy benefit and our focus on this year is enhance the system produce the new program, new product, And while the PBM side of the opportunity has been evolving, This is very much to do with the market condition and who we partner with. And just to present additional opportunity, But for this year and we enter into the November, when we look at really the enhanced EDIPS and the three year rate hold and the two, the large size of the employer market is important for us. We're looking to 2026, we might go back to check on what else we can build in terms of additional opportunities.

Tim Johnson: Yeah. The administration, the current administration in the White House has, you've recently heard the the press release and the conference that they had, they're looking for serious solutions. So putting our time and energy in it, if the government is going to step in as much as they are, and good for them. It could have been more of a waste of time. Thought our efforts would be better off focusing on the underwriting and claims piece that we just talked about.

James Lieberman: Okay. Thank you. One of the things that you guys had focused on is your broker your partners. And how that's been helping to drive sales? Basically, you're getting your distribution through your partners And I think last quarter, one of the things that struck me as you were getting some of the larger insurance brokers also So, maybe if you could talk a little about your broker relationships and And how like for the big renewal season, how how you go about the the process of focusing on that?

Marla Marin: Yeah. Our

Tim Johnson: We are growing our distribution sources because once they get a season of system it's so convenient, so easy to use that it's making their lives easier so they can do they can make more sales. But what we term as our alpha houses, the bigger brokerage firms around the country, products just like what we talked about with the three year rate guarantee. They have some of them have only focused on larger groups. Some of them do larger and smaller groups, but their primary focus is the larger group and with bringing a program like this three year rate guarantee, rate stability program that we call it, that's what they're focused on. So they are more excited than ever to get access to some of these products that we're bringing for the larger segment, the group segment.

Julia Chin: Yeah. Alan, also also, you know, we very aggressively start to train the brokers. And with all the large broker agency, they have regional office. They have, you know, they intend to just to have a pilot office, so testing out, and then then they go out to rest of their the agencies in the different state. So tourists is not only just the numbers, but once we start with one agency and our sales team really go down to the implementation the training. So we should be able to see these things is getting wrapped up, not only just the number, actually, one agency can have 100 thousands the other agency, you know, handful. So not only the the agencies, but also how can we deepening the relationship And our sales team has done great job of being providing a training and looking at how the system how easy system is. So we will see this continue accelerating.

Lori Babcock: Our outreach.

Julia Chin: Additionally, the event we're doing doubles and led by Dustin and all other PR. Will continue give us very good visibility in the market attract more large agencies.

James Lieberman: That's a good point. So the audience for the for the Davos conference will be

Allen Klee: kind of bigger players in the in the insurance tech area.

Julia Chin: That's right. By default, I think when the agency was a certain size, they are looking for more of the peers and where there's significant event and the forum they all can exchange their thoughts and also that is a is a perfect venue for us to improve our visibility without burning a lot of marketing dollars. So we have been very disciplined in terms of the marketing and the PR. We think this is a great opportunity for us.

Marla Marin: Okay.

Allen Klee: Those are my questions. Thank you so much, and congrats.

Tim Johnson: Thanks, Elle. Thank you.

Operator: The next question is a follow excuse me, pardon me. Thank you. Seeing no more questions in the let me turn the call back to Mr. Johnson for closing remarks.

Tim Johnson: Thank you, operator, and thank you all. I appreciate everyone joining the call today. If anyone has any questions, please do not hesitate to reach out to us. We appreciate your interest and look forward to keeping the dialogue open. Thanks everyone.

Operator: Thank you all again. This concludes the call. You may now disconnect.